Operator: Good day, ladies and gentlemen, and welcome to the Baker Hughes Company Third Quarter 2025 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Chase Mulvehill, Vice President of Investor Relations. Sir, you may begin.
Chase Mulvehill: Thank you. Good morning everyone, and welcome to Baker Hughes' Third Quarter Earnings Conference Call. Here with me are our Chairman and CEO, Lorenzo Simonelli; and our CFO, Ahmed Mogul. The earnings release we issued yesterday evening can be found on our website at bakerhughes.com. We will also be using a presentation with our prepared remarks during this webcast, which can be found on our investor website. As a reminder, we will provide forward-looking statements during this conference call. These statements are not guarantees of future performance and involve a number of risks and assumptions. Please review our SEC filings in website for the factors that could cause actual results to differ materially. Reconciliations of adjusted EBITDA and certain GAAP to non-GAAP measures can be found in our earnings release. With that, I'll turn the call over to Lorenzo.
Lorenzo Simonelli: Thank you, Chase. Good morning, everyone, and thanks for joining us. First, I'd like to provide a quick outline for today's call. I will begin by discussing our strong third quarter results. Next, I will highlight key awards announced during the quarter and provide some thoughts on the broader macro environment. Following this, I will share an update on the current progress in the LNG sector. I will then hand it over to Ahmed, who will present an overview of our financial results, followed by an update on our continued focus on portfolio management, including the Chart Industries acquisition. To conclude, I will summarize the main points before we open the line for questions. Let us now turn to the key highlights on Slide 4. We continue to execute at a high level, delivering another quarter of strong results. Adjusted EBITDA rose to $1.24 billion, above the midpoint of our guidance range. This performance reflects continued momentum from our business system deployment, positive trends in gas technology and strong outperformance in U.S. land, where our leverage to production is a clear advantage. Oilfield Services and Equipment margins softened in response to the broader macro environment, while Industrial and Energy Technology reported improved results, contributing to a 20 basis points year-over-year increase in consolidated adjusted EBITDA margins to 17.7%. This margin progression highlights the resilience of our portfolio and the foundation we have built through disciplined execution. Given the strong operational performance year-to-date, we now expect full year adjusted EBITDA for the total company to exceed $4.7 billion. Turning to orders. IET continues to build strong momentum, achieving $4.1 billion during the quarter, driven by LNG equipment, record Cordant Solutions orders and ongoing strength in gas infrastructure and power generation. As a result, IET backlog grew 3% sequentially, reaching a new record of $32.1 billion, further reinforcing the durability and visibility of our growth outlook. Through the first three quarters, IET orders totaled nearly $11 billion, including $1.6 billion from New Energy, already reaching the high end of the $1.4 billion to $1.6 billion guidance range. With good visibility into fourth quarter awards, we now expect full year IET orders to exceed our prior midpoint. Looking ahead, we are targeting at least $40 billion of IET orders over the next three years. This outlook is supported by the breadth and versatility of our technology portfolio, which continues to generate a robust pipeline across an expanding range of end markets. We expect growth to be led by gas infrastructure, power generation and new energy markets, while LNG equipment orders are expected to remain consistent with our solid performance over the past two years. In OFSE, Subsea Surface and Pressure Systems delivered a record quarter with $1.2 billion in orders, driven by major contract wins in Turkiye and Brazil. Turning to Slide 5. As I highlighted, we made strong progress on IET orders year-to-date, reflecting continued momentum across LNG, power generation and new energy markets. With strong visibility into our current pipeline, we expect this strength to carry into 2026. In LNG, we secured over $800 million in equipment orders this quarter, including Trains 3 and 4 of Sempra's Port Arthur Phase 2 and Train 4 of NextDecade's Rio Grande LNG. At Rio Grande, our Cordant Asset Health digital solution is being deployed on the first three trains. These awards reflect continued investment in large-scale LNG infrastructure and demonstrate our ability to deliver value by integrating equipment and digital capabilities to reduce downtime and boost availability and production. In power generation, we continue to experience strengthening demand for distributed power, cogeneration and geothermal solutions throughout the oil and gas, industrial, data center and geothermal markets. Notably, we secured a significant award from Dynamis for mobile power generation for oil and gas operations in North America, supplying more than 1 gigawatt of aeroderivative gas turbines to meet rising energy needs across upstream and downstream markets. We also made meaningful progress in geothermal power, securing a contract to design and deliver equipment for five organic rank and cycle power plants for Fervo's Cape Station project in Utah. This site will generate 300 megawatts of clean, reliable power, enough to supply approximately 180,000 homes. This builds on our earlier collaboration with Fervo, where OFSE provided subsurface drilling and production technologies. Together, these wins demonstrate the growing relevance of our integrated portfolio for scalable, low-carbon energy solutions. We also signed a collaboration agreement with Controlled Thermal Resources for the 500-megawatt Hell's Kitchen geothermal project in California. As part of this broader trend, we are seeing continued momentum in data center power demand. Year-to-date, we have now booked more than $700 million in power generation equipment orders for data center applications, led by our NovaLT technology. We remain confident in achieving $1.5 billion of data center orders ahead of our original 3-year time line, underscoring the increasing relevance of our power solutions in this fast-growing market. On aftermarket services, we secured a long-term service contract with bp for its Tangguh LNG facility in Indonesia and extended our agreement with Pembina Pipeline to support upgrades for the Alliance Pipeline system in North America. These awards reinforce the convertibility of our installed base into aftermarket and service opportunities, reflecting the resilience of our life cycle model. In offshore, a market we continue to see as a compelling long-term growth opportunity, IET secured an award to supply power generation and compression equipment for an FPSO in South America. This award further demonstrates our ability to deliver integrated solutions for critical energy infrastructure. SSPS delivered a record order quarter driven by a significant award for subsea trees in Turkiye. We will supply Turkish Petroleum with integrated subsea production and intelligent completion systems for the third phase of the Sakarya gas field. In offshore Brazil, we also announced a frame agreement with Petrobras for up to 50 subsea trees, marking our return to the subsea tree market following an extended absence. In flexible pipe systems, we booked an additional 66 kilometers of rises and flow lines for hydrocarbon production, CO2 injection and gas lift, again, highlighting our technical leadership in complex offshore developments. We will also provide an all-electric integrated completion system for the Buzios field in Brazil, enabling more precise subsurface control, increased operational efficiency and enhanced reliability. Petrobras also extended contracts for our Blue Marlin and Blue Orca stimulation vessels. In Saudi Arabia, we won a major multiyear award from Aramco to expand coiled tubing drilling operations, including six new units and extensions for four existing ones, supporting both reentry and greenfield projects across the Kingdom. For Production Solutions, we signed a 5-year extension to provide hydrocarbon and water treatment products and services across Valero's North America and U.K. refineries. We also continue to see strong demand in Mexico for our downstream chemical solutions as we help Pemex manage crude quality challenges. These awards highlight our ability to serve downstream markets as well as upstream and midstream. In ammonia, we booked a major order from Technip Energies for the Blue Point #1 project in Louisiana. This facility is set to become the world's largest low-carbon ammonia plant with a capacity of 1.4 MTPA. We will supply critical compression equipment for ammonia production and CO2 transportation along with steam turbines and generators for power solutions. Overall, we continue to see strong momentum across an increasingly diverse opportunity set, supported by the breadth and depth of our technology portfolio. Now turning to the macro on Slide 6. The macro environment has remained relatively resilient throughout 2025 despite geopolitical and policy-related headwinds. A key factor contributing to this resilience is the powerful new growth dynamic related to the rapid deployment of generative AI. This wave of investment is unlocking new growth vectors across a wide range of industries and serving as a broad stimulus for the global economy with recent estimates indicating that AI-driven investments account for approximately 30% to 40% of U.S. GDP growth this year. Globally, McKinsey projects over $1.5 trillion in data center infrastructure investments over the next three years, a major opportunity for Baker Hughes. We are seeing a clear acceleration in project activity and commitments from leading AI companies with our Power Solutions portfolio well positioned to meet this demand for resilient energy-efficient infrastructure. Now turning to oil. The market continues to navigate a range of cross currents. On one hand, there are concerns around softer demand and rising OPEC+ production. On the other, persistent geopolitical risks in the Middle East and Russia continue to support commodity prices. Despite the accelerated return of OPEC+ supply, Oil prices in the third quarter remained somewhat resilient. While it is possible some OPEC+ nations do not have the capacity to fully meet their production quotas, the near-term potential for oversupply continues to weigh on sentiment, keeping operators cautious amid the risk of short-term pricing pressure. As we shared last quarter, we continue to expect oil-related upstream investment to remain subdued until the market fully absorbs this incremental OPEC+ supply. Against this backdrop, our outlook for 2025 is unchanged, maintaining expectations for a high single-digit decline in global upstream spending. Looking ahead to 2026, early indicators point to another year of subdued activity, possibly leading to another year of global upstream spending decline. Longer term, the outlook is more positive, especially internationally and offshore, where substantial investment will be required to sustain production growth in response to rising demand. We also expect continued growth in OpEx-driven upstream investment as operators focus on enhancing recovery rates and extending the life of existing fields. On natural gas, we continue to see growing divergence between oil and natural gas fundamentals. It's abundance, low-cost reliability and lower emissions set natural gas apart from other fossil fuels. That structural advantage is increasingly reflected in both policy and capital allocation. By 2040, we expect natural gas demand to grow by over 20% with global LNG increasing by at least 75%. This growth outlook creates a favorable environment for Baker Hughes. LNG demand continues to demonstrate solid growth increasing by 6% this year, largely driven by a strong storage injection season in Europe, although this was partially offset by softer demand in China. This demand is driving record LNG contracting activity, which is essential for future project FIDs. According to Wood Mackenzie, 84 MTPA of long-term LNG offtake contracts were signed in the first nine months of the year, surpassing last year's total of 81 MTPA. Over the past two years, nearly 75 MTPA of LNG projects have taken FID with an additional 25 MTPA needed to reach our 3-year target of 100 MTPA. This would increase the global installed base to our long-held target of 800 MTPA by 2030. Beyond this, we see continued growth in the installed base, which I'll address shortly. In summary, we are seeing strong momentum in our key end markets, especially natural gas and AI-driven power despite persistent headwinds in global trade policy and oil. Our diverse portfolio positions us to manage volatility and we remain confident in our ability to continue executing against our long-term strategy. Turning to Slide 7. Let me take a few minutes to share our updated perspective on global LNG capacity expansion beyond our long-held target of 800 MTPA by 2030. That milestone is now largely supported by projects that have already reached FID, but are not yet commissioned. Looking beyond 2030, we now expect global LNG installed capacity to increase to approximately 950 MTPA by 2035. To achieve this level of capacity, an additional 175 MTPA of projects would need to reach FID by 2031. Our positive long-term outlook is anchored in a simple reality. The world needs more energy. This requirement is being amplified by the exponential growth in AI-driven power demand. Natural gas is well suited to meet this demand, offering abundance, affordability and lower emissions than coal without the intermittency issues associated with renewable sources. In many emerging markets, natural gas accounts for less than 5% of the power mix compared to over 40% in the U.S. This disparity presents substantial potential for natural gas to displace coal and support the transition to a lower carbon economy, especially in regions with high energy requirements that demands reliable and affordable power solutions. Nonetheless, periods of market volatility may occur due to the nonlinear nature of supply growth. Historically, declines in spot prices have encouraged new buyers to enter the market, thereby spurring the next wave of demand and supporting LNG's sustained long-term growth trajectory. Turning to our technology portfolio. This remains a core differentiator for Baker Hughes. Our best-in-class liquefaction solutions pair advanced compression technology with the industry's broadest selection of drivers including heavy-duty and aeroderivative gas turbines and electric motors. We consistently raised the bar for efficiency, throughput and uptime, helping customers achieve superior LNG project economics. The LM9000 aeroderivative gas turbine exemplifies this, delivering 44% simple cycle efficiency and setting new benchmarks in performance and reliability for large-scale energy infrastructure projects. We expect that the integration of Chart will further enhance the value we bring to customers, enabling greater optimization across the LNG value chain. This allows for more efficient project design, improve and better life cycle economics which we expect will result in superior outcomes for our customers. Importantly, an increasing installed base supports structural growth over the next decade in our Gas Tech services business, a key driver of long-term growth and earnings durability for Baker Hughes going forward. The service agreements are critical to ensuring the performance, reliability and emissions performance of LNG facilities over their full life cycle. Overall, we see sustained LNG growth well beyond 2030, driven by rising global energy demand, the push for decarbonization and infrastructure expansion in emerging markets. Baker Hughes is well positioned to capitalize on this trend, leveraging deep market expertise, innovative technology and reliable execution to support our customers with solutions that improve performance reduce emissions and enhance project economics. Now let me summarize the key points before handing it over to Ahmed. The first quarter was marked by strong execution and meaningful strategic progress. Operationally, we continue to form at a high level. IET delivered another quarter of strong order momentum, further demonstrating the breadth and versatility of our portfolio. At the same time, our business system continues to drive consistent performance across the company. The announced acquisition of Chart represents a significant milestone in our journey to become a leading energy and industrial technology company. We see substantial opportunity in combining our portfolios, and we expect that the acquisition will enrich our differentiated technology offerings and enhance the value we deliver to customers across critical, high-growth markets. As we announced earlier this month, we are conducting a comprehensive evaluation of our capital allocation focus, business, cost structure and operations in connection with the pending acquisition of Chart. This evaluation reflects the disciplined actions we have consistently taken over the years to establish a proven track record of driving strong performance and represents a natural progression in our ongoing value creation strategy. We have made substantial progress in driving operational improvements, advancing our portfolio and delivering leading shareholder returns and we are confident that we have the right strategy to build on this momentum and continue creating long-term value for shareholders. Lastly, I want to take this opportunity to extend my sincere congratulations to Ganesh Ramaswamy as he embarks on his next chapter as our CEO. During the past three years, Ganesh has been an exceptional leader at Baker Hughes, successfully implementing our business system and leading the organization with purpose. To maintain continuity and sustained progress within IET, Maria Claudia Borras, a seasoned and highly respected executive at Baker Hughes will step in as Interim EVP of IET. With that, I'll turn the call over to Ahmed.
Ahmed Moghal: Thanks, Lorenzo. Starting on Slide 9. As Lorenzo highlighted, we delivered another quarter of strong orders with total company bookings of $8.2 billion, including $4.1 billion from IET. Adjusted EBITDA increased by 2% year-over-year to $1.24 billion based on revenue growth of 1% as margins increased by 20 basis points to 17.7%. This performance continues to reflect the benefits of structural cost improvements and continued deployment of our business system, driving greater productivity, stronger operating leverage and more durable earnings. GAAP diluted earnings per share were $0.61. Excluding adjusting items, earnings per share were $0.68. We generated free cash flow of $699 million. For the full year, we expect free cash flow conversion of 45% to 50%, with a typical strong performance expected in the fourth quarter. Turning to capital allocation on Slide 10. Our balance sheet remains in a very strong position. We ended the quarter with cash of $2.7 billion and net debt to adjusted EBITDA ratio of 0.7x and liquidity of $5.7 billion. During the quarter, we returned $227 million to shareholders through dividends. Our near-term priority is to maintain the strength of our balance sheet in preparation for the closing of the Chart acquisition. On portfolio management actions, I'm pleased to report that we closed the acquisition of Continental Disc Corporation on August 7, the sale of precision sensors and instrumentation and the creation of the surface pressure control JV with Cactus are progressing as expected with closing anticipated early next year. When these two divestitures close, they will reduce annual EBITDA by approximately $150 million and generate around $1.4 billion in gross cash proceeds. Turning to the Chart acquisition. We were pleased to receive shareholder approval on October 6. We're currently working in a number of countries to achieve the customary approvals and continue to expect the deal to close in mid-2026. As stated in the Chart acquisition announcement, our objective is to achieve a net debt to adjusted EBITDA ratio of 1 to 1.5x within 24 months following the close of the deal. This reduction will be accomplished through a combination of existing cash balances, ongoing free cash flow generation and proceeds from continued portfolio management initiatives, which are anticipated to yield $1 billion of incremental proceeds. We have formed an integration management office and commenced integration planning with the team at Chart. In the near term, the focus is on harmonizing systems and processes, supply chain, commercial and operations structured across 14 dedicated work streams. This disciplined and targeted approach is designed to enable a seamless integration and position us to realize the full $325 million in anticipated cost synergies. Our early collaborations have demonstrated that both organizations possess aligned cultural values, prioritizing the customer at the core of all activities. The integration planning team is directed by the principle of making decisions that support the future enterprise and prioritize value creation while also acknowledging the strengths and capabilities of the legacy businesses. In addition to the significant cost synergies, we're excited about the commercial opportunities enabled by the combined product and technology portfolios. The combination expands Baker Hughes capabilities in key growth markets such as LNG, data centers, gas infrastructure, hydrogen and CCUS while also enhancing our ability to deliver differentiated value-added solutions to customers. Let's now move to our segment results, starting with IET on Slide 11. During the quarter, we secured IET orders totaling $4.1 billion, including more than $800 million of LNG equipment and a second consecutive record for Cordant Solutions. With a book-to-bill of 1.2x for the quarter, IET achieved another record RPO of $32.1 billion. This RPO level and a structurally expanding installed base provides strong revenue visibility for 2026 and beyond. IET revenue increased by 15% year-over-year to $3.4 billion, led by double-digit growth in Gas Technology Services, Gas Technology Equipment and Industrial Solutions. Segment EBITDA increased 20% year-over-year to $635 million as margins expanded by 90 basis points to 18.8%. This strong performance was led by record GTE margins and the highest Cordant Solution margins in the past four years. Turning to OFSE on Slide 12. OFSE revenue this quarter was $3.6 billion, up 1% sequentially. Well construction led growth with a 4% increase driven by drilling services. OFSE delivered EBITDA of $671 million, slightly above the guidance midpoint. EBITDA margins declined by 30 basis points sequentially to 18.5% as cost inflation and business mix were largely offset by cost-out initiatives and overall productivity improvements. In International, revenue declined 1% sequentially, where declines in Saudi Arabia, Argentina and the North Sea were largely offset by growth in Asia Pacific and Middle East, excluding Saudi Arabia. In the Kingdom, we see the potential for measured rig additions during 2026. In North America, revenue was up 6% sequentially. Onshore revenues increased slightly compared to the second quarter significantly outperforming the 6% decline in North America land rig activity due to our strong weighting towards production-related businesses. In SSPS, we continue to see positive momentum offshore, where we booked record orders led by significant subsea tree awards in Turkiye and Brazil. Moving to Slide 13. I want to provide an update on our outlook as well as the ongoing impacts of the trade policy changes. Starting with trade policy, the net tariff impact to EBITDA remained near prior quarter levels. We now project this net impact will be at the low end of our $100 million to $200 million range. We continue to execute several mitigation actions to minimize the financial impact and these measures will continue to play a critical role in managing ongoing exposure. Note that this assumes no further trade policy escalation, including retaliatory tariffs and continued success of our mitigation actions across both segments. We are also monitoring the evolution of U.S.-China trade policies, particularly with the 90-day pause potentially ending on November 10. Next, I would like to update you on our outlook. The ranges for revenue, EBITDA and depreciation and amortization are shown on this slide, and I'll focus on the midpoint of our guidance ranges. For the fourth quarter, we anticipate total company adjusted EBITDA of approximately $1.255 billion, primarily driven by sustained growth and margin expansion within IET. Specifically, IET's fourth quarter performance is expected to reflect ongoing momentum supported by strong revenue conversion from the segment's record backlog and continuous productivity improvements through our business system. As a result, we project IET EBITDA of $680 million, implying more than 100 basis points of the year-over-year margin increase. For OFSE, we anticipate fourth quarter EBITDA of $650 million. This projection reflects the potential for tempered year-end product sales across offshore and international markets as well as anticipated E&P budget constraints affecting U.S. land. Now turning to our full year guidance. We have updated the ranges to include actual year-to-date results and the fourth quarter guidance. Accordingly, we are raising the midpoint of total company adjusted EBITDA to $4.74 billion. For IET, we are raising the guidance range for both revenue and EBITDA, increasing the midpoint for revenue to $13.05 billion from $12.9 billion and EBITDA to $2.4 billion from $2.35 billion. Additionally, we're increasing the midpoint of the IET orders guidance range by $500 million to $14 billion, reflecting robust year-to-date results and anticipated incremental LNG and power generation orders in the fourth quarter. The major factors driving our guidance ranges for IET will be the pace of backlog conversion in GTE, the impact of any aeroderivative supply chain tightness in gas technology, foreign exchange rates and trade policy. For OFSE, we're increasing the midpoint of revenue by $150 million to $14.35 billion and holding the EBITDA midpoint relatively unchanged at $2.62 billion. Factors driving our guidance ranges for OFSE include execution of our SSPS backlog, the impact on near-term activity levels in North America and international markets, trade policy, foreign exchange rates and pricing across more transactional markets. Looking ahead to 2026, we remain focused on delivering profitable growth alongside continued margin expansion. In IET, we anticipate continued EBITDA growth even with the PSI divestiture taken into account. This positive outlook is supported by a record backlog and another year of strong margin improvement. We remain firmly committed to achieving 20% IET margins next year. In OFSE, we expect operator activity to remain subdued throughout much of 2026, suggesting a modest reduction in global upstream spending due to softening oil fundamentals. Taking into consideration the deconsolidation of SPC's results, we anticipate positive SSPS momentum into 2026 driven by strong backlog levels. Against this backdrop, we will continue to prioritize margin resilience and closing the gap with peers. Before turning the call back to Lorenzo, I also wanted to briefly highlight the key financial commitments of our Horizon Two strategy, which we laid out in September at the Barclays conference. We are targeting total company margins of 20% by 2028, representing a substantial increase from our 2025 implied margin guidance. Over the next three years, we also aim to secure at least $40 billion in IET orders which highlights our strong market visibility and robust technology portfolio. Lastly, we remain committed to achieving at least 50% free cash flow conversion by 2028. These targets do not factor in the expected accretive benefits from churn. In closing, we are proud of our strong third quarter operational results, which further demonstrate our commitment to delivering long-term value for our shareholders. Looking ahead, we remain focused on driving sustainable improvements in both financial performance and operational efficiency, ensuring that our actions consistently translate into attractive returns and ongoing value creation for our shareholders. With that, I'll turn the call back to Lorenzo.
Lorenzo Simonelli: Thank you, Ahmed. Our strong third quarter performance represents clear evidence of the consistent execution and operational discipline embedded across the organization. We have fundamentally changed the way we operate. And today, Baker Hughes is in its strongest position since the merger nearly a decade ago. Through Horizon One, we have delivered substantial operational improvement, expanding adjusted EBITDA margins by 320 basis points, while achieving tremendous commercial success. Looking ahead to Horizon Two, our focus remains on continued margin expansion, targeting a 20% margin for total company adjusted EBITDA by 2028. As we pursue our Horizon Two targets, it is important to recognize the broader context in which we operate. Baker Hughes sits at the convergence of the energy and industrial ecosystems at a time when their interdependence has never been more critical. The rise of AI is a transformative force driving both productivity and energy consumption. Combined with the rising energy demand in emerging economies, this reinforces our conviction that natural gas will play a central role in the global energy mix going forward. This is the age of gas, and Baker Hughes is well positioned to benefit. The Chart acquisition further expands this runway and is expected to enhance both our revenue growth profile and long-term margin expansion opportunity. We have outlined the significant commercial opportunities ahead as well as delivers to continue driving margin expansion and ultimately delivering stronger shareholder returns and meaningful sustained value for our customers and shareholders. As we look to the future, we are encouraged by the breadth of the opportunity in front of us with our disciplined strategy, expanding technology portfolio and teams fully aligned we believe Baker Hughes is well positioned to deliver long-term value at the intersection of energy and industrial markets. To conclude, I want to thank the entire Baker Hughes team for once again delivering outstanding results. Your passion, discipline and pursuit of excellence continue to push the company forward. With that, I'll hand it back to Chase.
Chase Mulvehill: Operator, we can now open for questions.
Operator: [Operator Instructions] Our first question comes from David Anderson from Barclays.
John Anderson: So power has been a huge theme over the last quarter. It kind of seems to be ramping up in the last month or so. I was wondering if you could please talk about some of the various opportunities you're seeing today and over the next several years in power generation. Obviously, the data center demand for your NovaLT is getting a lot of attention. But the Dynamis order today shows how distributed power is also a growing in store in the oil patch. Then you mentioned the geothermal opportunities and then also offshore. I was wondering if you could kind of put that all together for us and talk about kind of the size and the duration of these opportunities, but also what else is out there in terms of end markets for power generation?
Lorenzo Simonelli: Yes, Dave, definitely. And it's an exciting time when you think about power generation at the broad side of what's happening in the world. And really, it's a demand growth across power generation solutions, and it's definitely beyond just the NovaLTs for data center applications. When you think of Baker Hughes, we've got an equipment offering that includes generators, synchronized condensers, electric motors and geothermal solutions that really serve across power and industrial and oil and gas markets. And in addition, obviously, we've got the aeroderivatives and heavy-duty gas turbines that are available for the oil and gas power applications. And as you mentioned, we booked a significant order from Dynamis this quarter. So if you think about this award, and this quarter, we booked $800 million of power generation-related orders this quarter. And looking ahead, the pipeline is very strong. And I think it's important to note that it's not just data center, but it's really across oil and gas and industrial markets. And when you think about it, it's accelerating across the oil and gas sector. When you look at some of the basins, specifically U.S. shale basins, electrification, grid constraints are driving a steep change in the need for distributed power demand and you saw that example by the Dynamis Award, and we see that continuing also in the downstream markets. And as you look at data centers, we continue to see strong momentum. Year-to-date, we've booked approximately 1.2 gigawatts of data center power solutions. We remain confident that we'll achieve the $1.5 billion of data center orders ahead of the original 3-year time line that we mentioned. And you mentioned that as well, geothermal power generation and very pleased with the relationship that we have with Fervo and others and the award for the organic ranking cycle that we announced 300 megawatts of power and that's enough to power 180,000 homes. And as we look forward, there's continued opportunities as well with our OFSE business and the relationship we have with Fervo on the subsurface drilling production technologies, gas leak lines and really an integrated solution that we can offer that leverages both OFSE and IET capabilities. So as we think about it, in summary, there's going to be strong performance going forward on the IET side as well as the integrated solutions. The power generation business is going to be continuing to be a key contributor and really allows us to show the diversification of the solutions that we have across the total portfolio. And importantly, this continues to expand our installed base. And as you know, that turns into services business and calories as well with a long margin durability and reoccurring revenue for Baker Hughes going forward. So exciting times as the world continues to need more energy.
Operator: Our next question comes from the line of Arun Jayaram from JPMorgan.
Arun Jayaram: My question is wondering if you could talk a little bit about some of the key financial targets in Horizon Two and kind of give us -- Lorenzo, I meant some of the building blocks you see that are necessary to get to the 20% corporate adjusted EBITDA target by 2028 and maybe some thoughts on achieving $40 billion of IET orders over this time horizon.
Lorenzo Simonelli: Yes. Sure, Arun. And let me start off with maybe the order side of the $40 billion, and then I'll pass it over to Ahmed. I think he can cover the margin progression and -- as you highlighted, we're on pace to, again, book just over $40 billion of IET orders during Horizon One, and we're extremely confident in our ability to deliver at least that level over Horizon Two, which is what we stated as the goal going forward out to 2028. And importantly, it's -- you got to remember that does not include the Chart acquisition, obviously, at this stage. And what's giving us confidence is a really strong visibility to the project activity, the pipeline that we see and the versatile technology portfolio we have across multiple areas of LNG, power generation, industrial and new energy. So if you take them one by one, if you think about LNG, we estimate 25 MTPA of FIDs that are going to take place during the course of the next 15 months to really reach our 3-year target of 100 MTPA. And that will take us to the 800 MTPA by -- that we announced for 2030. And then as we look going forward, there's going to be more FIDs taking place. And as you saw from the prepared remarks, installed capacity rising to 950 MTPA by 2035. And so as we look at the LNG space, continued order momentum going out in the next few years. And that provides with it also the opportunity for strong upgrades and service activity across our installed base as well. If you look at gas infrastructure, again, durable long cycle opportunities. As you think about natural gas and you think about gas being a prominent energy mix in the future, you're going to need more gas infrastructure as you think about the elements of being able to get the gas from out of the ground and the compression and the pipelines. We see a growing opportunity for that gas infrastructure going forward. On power generation, I mentioned it before, again, the step function change in demand for distributed power cogeneration and also geothermal solutions that we mentioned previously also to Dave. And if you look at another theme of data centers, again, emerging as one of the key new end markets, and we've secured several awards for our NovaLTs and we expect $1.5 billion target to be achieved ahead of schedule. And let's not forget new energy. And as you look at this year already, we booked $1.6 billion of orders already at the high end of our 2025 guidance, and we expect this momentum to continue across hydrogen, geothermal and Carbon Capture and Sequestration going forward. And lastly, digital. You're applying productivity and efficiency across all of this and our Cordant solutions and the capabilities we have around iCenter and really tracking over 2,000 turbomachinery assets across the globe continuing to be an opportunity as we go forward in enriching the installed base. So if you look at those factors, and it gives us a lot of confidence that the $40-plus billion of IET orders in Horizon Two out to 2028. And with that, I will hand it over to Ahmed to go through the margin.
Ahmed Moghal: Yes. Thanks, Lorenzo. So look, Arun, as we look at the construct to that margin target and looking at '25, our guidance implies EBITDA margins slightly below 17.5% for the total company. So total 20% company margins represents about 250 basis points of margin improvement over those next three years. So just as a reminder, that 20% margin target does not include the expected accretion from the pending Chart acquisition. And when we step back and look at it to achieve this margin target, there are two broad buckets at the overall company level. And then maybe I'll give some color on the segment dynamics. So at the total level, continuous improvement, we continue to do that through the Baker Hughes business system. And that will always remain a cornerstone of how we execute our strategy, consistent execution, cost control and leverage and process discipline. The other piece to that, and we haven't talked about this much, but AI, I think when we look at it, it allows us to unlock new levels of efficiency and productivity. And we see that as a good tailwind over the next few years. And that goes all the way from enabling functions as well as optimizing supply chain, engineering, logistics and so forth. So this is a really exciting area for us. And then you've heard us talk about portfolio optimization, and that will remain a key lever. So over Horizon One and specifically, when you look at this year, we've made meaningful progress, and we intend to build on that momentum as we enter the horizon Two until the next three years or so. And in Horizon Two specifically, we're targeting at least $1 billion in proceeds from noncore asset sales going through the structure that we laid out in terms of how we assess that with a focus on reducing that exposure to more cyclical OFSE markets and shifting that increasing our presence in more industrial-like higher-margin areas. So that's at the overall company level. And then when you look at the segments, some color on that. For IET, first and foremost, our near-term focus is to ensure that we hit the 20% IET margins next year, so 2026. And then beyond that, we see further upside given the structural growth of the installed base that you're seeing with the book-to-bills of IET over the last few years, and the strong services pull-through that will allow for as well as the strong margin rates that are sitting in backlog, and we continue to drive that through the book-to-bills. And then in OFSE, Just to round it out, while it's a more challenging upstream market, our priority is to make sure we preserve the margin rates in the near term, as we continue to work the cost out actions, and we've been doing that over the last few years and continue to do that this year. And the focus will be continue to close the margin gap with the peers in this area. And so once -- the other thing I'd say is once Chart is closed and integrated, we expect it to be accretive to that 20% margin target. So hopefully, that gives you a little bit of color on the building blocks to the margin target.
Operator: Our next question comes from the line of Stephen Gengaro with Stifel.
Stephen Gengaro: So you have the Chart merger pending, and you've done a tremendous amount over the last five years, really reshaping the portfolio. And then in early October, you had a press release out and you mentioned this earlier about performing a comprehensive evaluation of capital allocation, the business costs and operations in general. Can you talk a bit more about what this entails and what we should expect to hear from Baker over the next couple of quarters?
Lorenzo Simonelli: Yes, Stephen, and thanks for the question. We've been focused on enhancing shareholder value and accelerating our transformation into a differentiated energy and industrial technology company. The pending acquisition of Chart represents a major strategic milestone in that journey. And with the shareholder approval now in hand, this is the right time to evaluate additional value creation opportunities and importantly, like you said, this approach is not new to us. Over the last several years, we've consistently been taking action to drive value for our shareholders and the -- this disciplined approach has translated into tangible results during Horizon One, with EBITDA margins up over 300 basis points, while EBITDA has increased by approximately 60% which has helped us to drive significant outperformance for our shares. So we think there's still meaningful upside ahead and we'll continue the evaluation as we've been, which reflects the ongoing disciplined approach to unlocking additional value creation opportunities. And as you think about what's next, ourselves with the Board will continue to explore all the path to drive shareholder value, carrying out the -- as previously announced, comprehensive evaluation of our capital allocation focused business cost structure and operations. And I think importantly, we want investors to know that we're not resting on our laurels of recent outsized returns. We believe that there's substantial value to be recognized in the near, intermediate and long term for Baker Hughes shareholders. And we won't speculate today, but we'll keep working through the evaluation and make sure that we continue to increase shareholder value.
Operator: Our next question comes from Scott Gruber from Citigroup.
Scott Gruber: It's been a couple of months since the Chart acquisition announcement. You mentioned the integration planning underway. But can you provide some more color on what you can do now through the early close period to really accelerate the time to full synergy capture and accelerate the timing to full integration of Chart into IET?
Lorenzo Simonelli: Definitely. And Scott, let me start by reiterating why we continue to be very confident in the strategic and industrial logic of the acquisition. And we believe that this combination is going to significantly enhance the value we can deliver to customers. It really aligns with the IET segment, adding key thermal management and air and gas handling solutions to our portfolio. The combination also expands IET's capabilities in key growth markets, unlocking commercial synergies by offering customers value-added solutions. The breadth and diversity of the combined portfolio is going to allow us to go after aftermarket potential. And again, the aftermarket service opportunity is significant also with digital opportunities. And so I feel very good about the combined portfolio being more industrial and less cyclical positioning the company to be able to deliver more resilient and consistent long-term performance. And that's going to provide significant revenue synergies as we go forward in the future. And I'll let Ahmed speak to some of the progress to date in setting up the integration team.
Ahmed Moghal: Yes. Scott, as we look at the integration itself, the focus, as you said, is really the progress we can make before deal close. So we formed the integration management offices and the teams have a very strong operating rhythm. What we've seen very clearly are the cultures are very closely aligned customer at the core of all activities, which allows us to really drive some of that commercial synergy work. So in the near term, across those 14 work streams that are dedicated individuals across the board, they're focused on systems integration architecture, all sorts of systems, supply chain, commercial go-to-market and operations. So a lot of work there. And as we progress, we're keeping a very clean sort of view on that swift integration and making sure that we can realize the full $325 million in anticipated cost synergies. And just as a reminder, for the integration itself, it's now going to be led by Jim Apostolides, who's our Chief Infrastructure and Performance Officer. And he's got 25 years of operational and multi-industry leadership experience. And then specifically, when it comes to integration work at both GE prior to Baker Hughes, and at Baker Hughes. He's led many complex projects in the past and led those post-acquisition leadership teams. And so as an example, the GE separation across the enterprise that he was involved in. So he's been already working closely with the integration team given that many of the areas in the interim are, of course, focused on areas that fall under his supply chain scope. So we're really pleased on the momentum we're driving there. And with respect to timing, obviously, we mentioned the shareholder vote and the approval from Chart shareholders and we remain focused on all customary approvals that are in the queue now. So from a timing perspective, we feel good about expecting to close the deal in mid-2026.
Operator: Our next question comes from the line of James West with Melius Research.
James West: So I wanted to dig in on the OFSE business and particularly the margin because you guys significantly outperformed the peer group on the third quarter. You've given guidance for 4Q for a little bit more degradation, but not a lot, which is differentiated. And so I'd love to hear about the moving pieces on the margin, what you're doing to kind of address and kind of maintain high margin rate. And then -- and if you could also expand on maybe next year as you think about -- you've given kind of the -- your guidance on what you think exploration and production spending will be for next year, down slightly what do you expect for the margin to do in that segment as we go through the year?
Ahmed Moghal: Yes, James, I'll take that. So look, we're pleased with how the OFSE team has performed given these market conditions and the resilience that they've been able to drive. So maybe what I'll do is I'll give an overall and then go a little bit in 3Q, 4Q and then a look forward into '26. So at the midpoint of our '25 guidance, OFSE margins, we're expecting them to be down 10 basis points despite an 8% decline in revenue. So that just shows the resilience of the work the team has been doing on cost-out initiatives that they started late last year and the continued simplification that Amerino has been driving as part of the overall OFSE organization. So that's what's really helped deliver that year-over-year margin outperformance relative to the peers in this area. And then when I look at the third quarter specifically, that modest margin decline was really driven fundamentally by business mix and a little bit of cost inflation coming through, but the team was able to offset most of that by cost-out initiatives and overall productivity that they're driving through the fields and the shops. So that again goes back to the resilience. The fourth quarter, as you mentioned, the midpoint of our guide points to both modest revenue and margin declines. And that's really built up through, I would say, a couple of things. One is typical seasonality in the Eastern Hemisphere and the other thing is tempered year-end product sales across both offshore and international markets. And then lastly, what we see as some E&P budget constraints affecting U.S. land specifically. So that wraps up the year. And then when you look into '26, as we mentioned, we expect operator activity to remain subdued throughout most of the year, and that would suggest a modest reduction in global upstream spending due to what we see as a softening of oil fundamentals. But within SSPS, as an example, our strong backlog levels, we expect to drive positive momentum into 2026, excluding the effects of, of course, the SPC deconsolidation that will happen at the beginning of the year. So stepping back, when I look at this against this macro backdrop, we're going to continue to emphasize what we've been doing, which is cost efficiency, pricing discipline and upselling opportunities and ultimately prioritizing margin quality over volume. So that is the work that's ongoing to make sure we close the gap with the peers in this area. So hopefully, it gives you some color, James.
Operator: Our next question comes from the line from Marc Bianchi with TD Cowen.
Marc Bianchi: I wanted to ask about NovaLT, you had a really good first half year for NovaLT, but it seems like 3Q didn't have much. What are you expecting for NovaLT in 4Q and into 2026? And what's the lead time look like for customers placing those orders?
Ahmed Moghal: Yes. Marc, I'll take this one. So as we've noted, third quarter year-to-date, we've seen a sharp increase in orders for our NovaLT turbines this year. And that's across not only data centers but also traditional and emerging industrial markets. So the diversity of this industrial gas turbine is one that's really strong. So in total, when I step back and look at it, we probably expect to book over $1 billion of NovaLT orders in '25 with oil and gas applications being roughly 1/3 in data centers and broader industrial making up the difference. And of course, that's a record orders year for Novas by a wide margin and the pipeline we see is quite strong. So as we highlighted, the demand for power gen applications is really broad, and we expect it to be quite strong going forward. So in terms of capacity and how we're supporting this growth, we're -- we've been significantly increasing our manufacturing capacity. And we continue to make targeted investment in enhancing the actual performance of the industrial gas turbine in Nova, including expanding its power range and reducing startup time. So there's a piece around the actual product efficiency but also overall capacity. So we're seeing strong demand for delivery slots well into '28 and beyond. And so the durability and resilience of the market is quite strong as we can see from the backlog as well as demand signals we're looking at. And then, of course, the NovaLT that allows us to drive substantial potential for aftermarket services growth, given its industrial gas turbine. As I mentioned, new capacity going in, both on the production side but also supplying spares. And as we expand that installed base, that's going to be a key area. So that recurring revenue opportunity, that new unit pipeline is one that we're very excited about. And we see quite a lot of potential in this specific area. So hopefully, Marc, that helps you a little bit.
Operator: That was our last question. I will hand you back to Mr. Lorenzo Simonelli, Chairman and Chief Executive Officer, to conclude the call.
Lorenzo Simonelli: Thank you to everyone for taking the time to join our earnings call today, and I look forward to speaking with you all again soon. Operator, you may now close out the call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect.